Operator: Welcome to the Rambus First Quarter Fiscal Year 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. At the conclusion of our prepared remarks, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference call is being recorded. I'd now like to turn the conference over to Desmond Lynch, Chief Financial Officer. You may begin your conference.
Desmond Lynch: Thank you, operator, and welcome to the Rambus first quarter 2025 results conference call. I'm Desmond Lynch, Chief Financial Officer at Rambus and on the call with me today is Luc Seraphin, our CEO. The press release for the results that we will be discussing today has been filed with the SEC on Form 8-K. We are webcasting this call along with the slides that we will reference during portions of today's call. A replay of this call can be accessed on our website beginning today at 5:00 PM Pacific Time. Our discussion today will contain forward-looking statements including our expectations regarding projected financial results, financial prospects, market growth, demand for our solutions, other market factors, including reflections of the geopolitical and macroeconomic environment, and the effects of ASC 606 in reported revenue amongst other items. These statements are subject to risks and uncertainties that may be discussed during this call and are more fully described in the documents we file with the SEC, including our 8-Ks, 10-Qs and 10-Ks. These forward-looking statements may differ materially from our actual results, and we are under no obligation to update these statements. In an effort to provide greater clarity in the financials, we are using both GAAP and non-GAAP financial presentations in both our press release and on this call. A reconciliation of these non-GAAP financials to the most directly comparable GAAP measures has been included in our press release, in our slide presentation, and on our website at rambus.com on the Investor Relations page under Financial Releases. In addition, we will continue to provide operational metrics such as licensing billings to give our investors better insight into our operational performance. The order of our call today will be as follows. Luc will start with an overview of the business. I will discuss our financial results, and then we will end with Q&A. I'll now turn the call over to Luc to provide an overview of the quarter. Luc?
Luc Seraphin: Thank you, Des, and good afternoon, everyone. Rambus had an excellent start to the year. In Q1, we achieved great financial results and maintained our market leadership position in core DDR5 chips, delivering another quarter of record product revenue. As a cornerstone of our growth strategy, we continue to aggressively drive our product development roadmap of signal and power integrity solutions for next-generation memory architectures that address the ever-increasing needs of advanced workloads in the data center. As we navigate the dynamic environment in the near term, the Rambus business model is naturally resilient to turbulence. This resilience comes from the diversity of our business with revenue streams from chips, IP, and patents. Our patent licensing business is highly predictable due to the long-term nature of our agreements, which provides financial stability. Our robust balance sheet and consistent track record of generating strong cash from operations strengthens our ability to navigate macroeconomic uncertainty and the potential impact of tariffs. As of today, there is no direct impact on our operations on tariffs. This is a rapidly evolving situation that we are actively monitoring and we are in continuous discussions with our customers and suppliers to understand the potential indirect impacts of tariffs. Given the current dynamics, we have limited visibility of the potential impacts beyond the current quarter. We remain very conscientious and focused on strategic execution. Our robust business model and stable foundation allow us to sustain our strong investments in technology leadership and new product development, positioning us well for long-term growth while consistently delivering value to our stockholders. Turning now to our Q1 results. We delivered revenue and earnings above our expectations and generated outstanding cash from operations of $77 million. Memory interface chips drove the top-line growth, delivering another quarter of record revenue at $76 million, up 52% year-over-year, driven by our continued strong leadership position in core DDR5 RCD products. We are delighted to see another quarter of increased sales for memory interface chips and expect further growth in Q2, putting us on track for a very strong first half of the year. As I mentioned in my opening remarks, we are also making steady strides in advancing our product roadmap. The record number of products introduced last year are each moving through the varying stages of the product adoption cycle. Progress continues on the rollout of our expanding portfolio of new products, including our industry-leading server PMICs and MRDIMM 12800 chipset. We have broad-based momentum and qualifications ongoing at the module and system level. The industry standard MRDIMM 12800 chipset will enable a new wave of high-performance DDR5 systems as the need for capacity and bandwidth continues to grow. Designed to intercept future generation server platforms, we are providing qualification samples to customers and expect to see our chips ramp in line with compatible processes. As a critical component to managing power in high-performance memory subsystems, our family of PMICs is also being very well-received by customers. Our industry-leading extreme current PMIC will support high-capacity systems with RDIMMs running at 6400 and 7200 mega transfers per second and our second-generation server PMIC rounds out our offering for both industry-standard DDR5 RDIMM 8000 and MRDIMM 12800. We are very excited by the positive progress at customers for our broad set of new products with early shipments underway for both server and client applications. Turning to Silicon IP, AI continues to drive design win momentum. And while quarter-on-quarter revenue may vary due to customer program timing, we are pleased with our ongoing traction. As key building blocks for accelerating computing ICs, we continue to see strong demand for our industry-leading memory and interconnect IP, including HBM4 and PCIe 7 controllers, as well as our security IP. In March, we introduced our next-generation crypto manager security IP solutions that address an expanded set of customers and offer new levels of security, including Quantum Safe functionality. As we look ahead, AI and the ongoing evolution of the data center will continue to drive demand across our chips and IP with advanced applications requiring unprecedented levels of performance and security. To enable the robust high performance and high-capacity memory subsystems critical to meeting the needs of data-intensive workloads, a growing number of specialized silicon solutions are required. With 35 years of memory subsystem expertise, Rambus has strategically expanded our product portfolio to offer complete chipsets for all industry-standard DDR5 server memory modules. Over the past year, we continued our track record of industry leadership in core DDR5 products, introduced new server power management solutions, and were first-to-market with a complete chipset for industry-standard DDR5 MRDIMMs. We are also excited at the future prospect of our signal and power integrity technology, [water falling] (ph) into solutions for the clients market. The strength of our business model enables us to continue this investment in new products for growth. And we look forward to sharing more as we make further progress on our roadmap and expand our addressable market. In closing, we had a very strong start to the year, exceeding guidance for revenue and earnings, and continued product leadership driving record product results. Our dedicated product execution, continued conviction in our roadmap investment, and resilient business model position us well for future growth and success. As always, I'd like to thank our customers, partners, and employees for their ongoing support. And with that, I'll turn the call over to Des to discuss the quarterly financial results. Des?
Desmond Lynch: Thank you, Luc. I'd like to begin with a summary of our financial results for the first quarter on Slide 3. We delivered strong financial results in the quarter as we continue to make progress on our long-term growth strategy. Our first quarter results exceeded our expectations for both revenue and earnings. In addition to these solid results, a resilient business model with diversified revenue streams and a stable foundation of our patent licensing business consistently generate strong cash from operations. This enables us to invest in our long-term growth as we navigate the current dynamic environment. Let me now provide you a summary of our non-GAAP income statement on Slide 5. Revenue for the first quarter was $166.7 million, which was above the high end of our expectations. Royalty revenue was $74 million, while licensing billings were $73.3 million. The difference between licensing billings and royalty revenue mainly relates to timing as we do not always recognize revenue in the same quarter as we bill our customers. Product revenue was $76.3 million, up 4% sequentially and up 52% year-over-year as we delivered another quarter of record product revenue, driven by continued strength in DDR5 products. Contract and other revenue was $16.4 million, consisting predominantly of Silicon IP. As a reminder, only a portion of our Silicon IP revenue is reflected in contract and other revenue, and the remaining portion is reported in royalty revenue as well as in licensing billings. Total operating costs, including cost-of-goods-sold for the quarter were $90.4 million. Operating expenses of $59.4 million were in line with our expectations and relatively flat sequentially as we continue to be disciplined in our expense management. Non-GAAP interest and other income for the first quarter was $4.5 million. Using an assumed flat tax rate of 20% for non-GAAP pre-tax income, non-GAAP net income for the quarter was $64.6 million. Now, let me turn to the balance sheet details on Slide 6. We ended the quarter with cash, cash equivalents, and marketable securities totaling $514.4 million, up from Q4, primarily driven by strong cash from operations of $77.4 million. First quarter capital expenditures were $11.7 million while depreciation expense was $7.1 million. We delivered $65.7 million of free cash flow in the quarter. Let me now review our non-GAAP outlook for the second quarter on Slide 7. As a reminder, the forward-looking guidance reflects our current best estimates at this time and our actual results could differ materially from what I'm about to review. While the geopolitical and economic environment is uncertain, we remain in constant communication with our customers and suppliers to navigate the evolving landscape. In addition to the non-GAAP financial outlook under ASC 606, we also provide information on licensing billings, which is an operational metric that reflects amount invoiced to our licensing customers during the period adjusted for certain differences. We expect revenue in the second quarter to be between $167 million and $173 million. We expect royalty revenue to be between $67 million and $73 million, and licensing billings between $64 million and $70 million. We expect Q2 non-GAAP total operating costs, which includes COGS to be between $94 million and $90 million. We expect Q2 capital expenditures to be approximately $13 million. Non-GAAP operating results for the second quarter is expected to be between a profit of $73 million and $83 million. For non-GAAP interest and other income and expense, we expect $4 million of interest income. We expect pro forma tax rate to be 20% with non-GAAP tax expenses to be between $15.4 million and $17.4 million in Q2. We expect Q2 share count to be 109 million diluted shares outstanding. Overall, we anticipate the Q2 non-GAAP earnings per share range between $0.57 and $0.64. Let me finish with the summary on Slide 8. In closing, I am pleased with our strong financial results and continued execution. Our diversified portfolio and disciplined business model continues to drive profitable growth with strong cash generation. Our robust balance sheet enables us to invest in market expansion, opportunities in data center and AI while consistently delivering value to our stockholders. Before I open up the call to Q&A, I would like to thank our employees for their continued teamwork and execution. With that, I'll turn the call back to our operator to begin Q&A. Could we have our first question?
Operator: [Operator Instructions] The first question is from the line of Gary Mobley with Loop Capital. Your line is now open.
Gary Mobley: Good afternoon, everybody. Thanks for taking my question. As we sit here today and think about the served available market for your product revenue, your memory interface chip revenue, I guess the baseline to consider the market for general servers. But as far as socket configurations go, core count and the number of memory channels supported by these different server processors, what are you guys seeing in terms of trends out there that's driving memory density in each specific server above and beyond just sort of that baseline general server market growth rate?
Luc Seraphin: Thank you, Gary, for your question. There are actually a lot of factors coming into -- the view of the total available market for our products. There's certainly, as you say, the number of sockets, the number of channels per processor, but also the mix between AI servers and standard servers. If you take all of this into account, we believe that the market is going to grow mid to high single-digit for our product this year, taking into account all of these factors, including the memory density on each one of the DIMMs. So it's a complex equation, but with everything taken into account, we expect the market to continue to grow mid to high single-digit this year for our products.
Gary Mobley: Okay. Thank you. Just a quick follow-up. In the past, you've always had your ASC 606 compliant GAAP revenue lower than your adjusted revenue. And now I would presume that most of your major licenses with your memory RDIMMs are on, you have some of the better performance obligation. So I would expect them to convert, but now your ASC 606 revenue is above your adjusted revenue. Maybe if you can just give us a sense of what's driving that seemingly $5 million a quarter of revenue path that's in the numbers now?
Desmond Lynch: Hi, Gary, it's Des. In the quarter, we did see a small patent agreement that was renewed, which resulted in upfront revenue recognition from a 606 perspective. The billings from this contract will follow in later quarters and will show up under licensing billings. And as you mentioned, I am really pleased to see that all major patent license contracts have been renewed to long-term agreements under a variable structure, which results in a strong alignment between both GAAP and non-GAAP results. We will continue to work on transitioning some of these smaller legacy contracts to our revenue recognition friendly structure under ASC 606. But overall, we're really pleased to see the convergence of our financials.
Gary Mobley: Thanks, Des. Thanks, Luc.
Desmond Lynch: Thanks, Gary.
Operator: The next question is from the line of Aaron Rakers with Wells Fargo. Your line is now open.
Aaron Rakers: Yeah, thanks for taking the question, guys. A couple if I can as well. So first of all, I just wanted to go back and I can appreciate the commentary that you offered on the tariff situation, and the uncertainty involved in what is obviously very fluid dynamics. But, Luc, I'm curious, as you're engaging with your customers, what are the scenarios that they're thinking about as it relates to tariffs? Have you seen any indications or signs of kind of inventory builds or buying ahead based on this fluidity of tariffs? Any kind of context around what your dialogue with them would be very helpful.
Luc Seraphin: Hey, thanks for your question, Aaron. So the first thing I would say is that you know our business model, as I said in the opening remarks, is quite resilient. Our patent licensing is not going to be affected by the tariffs just because of the nature of these agreements. We see a lack or less visibility in terms of our SIP revenue because we don't know what the indirect impact of the tariffs are going to be on the design starts of our customers, but we still expect to grow our revenue on Silicon IP. And with respect to our product business, our -- we build our products in Asia. The front-end is in Taiwan. The back-end is in Taiwan and Korea and we ship to our customers in Asia. So from that standpoint, there is no direct impact of tariffs. What we're looking at with our customers and suppliers are the indirect impact on the product space. As -- depending on the situation, some other customers, some other companies may shift their production lines to areas with no tariffs and that could create some tension there on the supply chain. Finally, when we look at our backlog at the inventory level on our side, inventory level at our customer side, we don't see any pull-ins at this point in time. But we're monitoring the situation. But as far as we're concerned today, we do not see any pull-ins from our customers.
Aaron Rakers: Yeah. No, that's very helpful. And then kind of more on the product chipset growth, 50%, 52% growth is pretty notable. I'm curious as we think about the diversity within that business, where we stand today with regard to RCDs and kind of really what I'm trying to get at is the diversity towards these PMICs and companion chips really starting to ramp in the second half of the year. How do we think about the mix of that business and the progression of that mix? And then I'll slot in the final part of that is that MRDIMMs, just remind us real quickly of the timing of when that might be something that we should really start to consider in that product line? Thank you.
Luc Seraphin: Thank you. Yeah, sure. At this point in time, the vast majority of our business is still on the RCD chip and the vast majority of that is on the DDR5 RCD chips. And I think this is the result of the strategy we have put in place, which is to make sure that we have the right footprint in every generation of DDR5 that translates into the growth that we are seeing today. With respect to new products, we introduced eight new products last year. Four of them in April 1 in the -- one in July and the rest in October. What we're starting to see is some of the qualifications are percolating through the whole system. We're starting to see modules qualified with our PMICs. They are on the high-end of these modules, which is not a surprise because that's how we position our product line to gain share. So it's taking its time, but it's moving. I think the contribution -- I let Des comment the contribution of these companion chips in the first part of this year is probably single-digit -- low-single digit and -- by quarter, but we expect this to continue to grow towards the end of the year. We do see the momentum. The later products take more time with respect to MRDIMM. We just sampled customers recently and that MRD market is going to ramp with a follow-on generation of the computing platforms. So it's going to be revenue in the second half of 2026 to start with.
Operator: Thank you. The next question is from the line of Blayne Curtis with Jefferies. Your line is now open.
Blayne Curtis: Hey, good afternoon. Thanks for my question. I just want to follow up on the tariff question. Maybe you can just walk us through kind of how the linearity of the quarter in the first few weeks here of April. I mean, I guess, your product business is growing. I'm just kind of curious how kind of that order momentum has been and it sounds like it hasn't changed much, but just if you could just kind of add a little color there would be great.
Desmond Lynch: Hi, Blayne, thanks for your question. We're really pleased with what numbers we were able to print for Q1 and also the guidance for Q2. If we look at our order sort of backlog, we have high coverage going into the quarter. We're probably at least over 90% covered on the midpoint of the backlog from there. And what we will see is the normal sort of shipping patterns through month one, month two, and month three within the quarter. So very pleased with how everything is sort of playing out. As Luc mentioned earlier, we've not really seen a pull-forward of demand from our customers, but that's something we continue to watch here going forward.
Blayne Curtis: Perfect. And then I'm just kind of curious if you had a perspective, I know it's a really tough thing for me to ask you about the full year or the second half. But I'm just kind of curious that were -- if you could maybe talk about your visibility into some of the new products from server platforms in terms of your visibility and continued growth for the product revenue.
Desmond Lynch: Yeah, sure. As we indicated earlier, the different products -- the eight different products that we introduced at different stages of rollout with our customers, we do see the first full modules using some of our products rolling out in the second half of this year. So our view is that quarter-over-quarter, we will continue to see increased revenue from our companion chips with the caveat that you will see how the tariff situation evolves over time. And secondly, as for all of our products, we're always dependent on the rollout of the platforms that use those products. So -- but that's the normal state of the business for us. But assuming that the rollover platforms go the way, we expect them to go, we will see continuous growth quarter-over-quarter on our companion chips and to -- and also in 2026.
Blayne Curtis: Thanks. I just want to clarify. I mean, you're saying the companionships, but in terms of like RCD growth as well, is there some distinction you're making or you just have better visibility into companion off a low number?
Desmond Lynch: Our RCD chips, we are in very good position on the DDR5 generation of products. We continue to monitor the mix between Gen 1, Gen 2, Gen 3, all the products are rolling out. Our view at this point in time is that if any platforms shift out from the processor vendors, then that demand is probably going to be covered by the prior generation. So the view we have on the RCD chip is that we will continue to maintain our market share. Last year, we were a little short of 40% share -- a little higher than 40% share. In the prior year, we're a little short of 40% share and we continue to have the goal of 40% to 50% share. And that does not depend on the rollout of the different platforms at this point in time. The good news for Rambus is that DDR5 is in the market in earnest, and that's where our footprint, whatever the generations is much stronger than DDR4.
Blayne Curtis: Thanks a lot.
Desmond Lynch: Thank you.
Operator: Thank you. The next question is from the line of Mehdi Hosseini with Susquehanna. Your line is now open.
Mehdi Hosseini: Yes, excuse me. Thanks for taking my question. I want to start off with the product revenue. Was there a mix issue that led to a sequential decline in the gross margin? And if I just use the Q1 as a baseline, how should I think about progression of product revenue growth throughout the year? And I have a follow-up.
Desmond Lynch: Hi, Mehdi, it's Des here. So on the product gross margins, they continue to operate in line with our long-term gross margin target. In Q1, our gross margins on the chip side were around 60%. This was down slightly compared to Q4, which was driven by the price negotiations with our customers, which are effective at the start of the year. These price reductions were in line with our expectation, and we saw mid-single-digit erosion on production parts from there. If we look at the back half of the year, what I would expect to see is stronger gross margin performance compared to the first half. This would be driven by a combination of product mix improvements as well as manufacturing cost savings that will continue to ramp throughout the year. We did see this dynamic and similar profile in 2024. I think overall, when we look at an annual basis, we have a strong track record of delivering product gross margins in line with our long-term target through a disciplined approach to pricing and the continued drive on the manufacturing cost savings side from there.
Mehdi Hosseini: Okay. Thanks for detail. And then one follow-up on Silicon IP. Given the recent headlines of the past month or so, it seems like HBM4 samples will be available later this year and maybe high-volume manufacturing next year. And I'm not asking for specific guide, but given my assumption that you have higher content with HBM4 compared to prior generation, should we expect a material step-up in incremental revenue or how else could we think about the contribution, especially as it relates to silicon IP?
Desmond Lynch: Hey, thank you, Mehdi. The nature of the silicon IP business is that we typically sell our IP 12 months to 18 months before our customers roll out their chips into the market. So our activity on HBM4 started last year. It continues throughout this year. That explains some of the good performance we had last year with total revenue of $120 million on the SIP side. But that business is lumpy in nature because we get the revenue when actually people license our IP. So we're dependent on the design starts, new tape-outs and these kind of things. But the HBM4 wave started months ago for us in preparation for chips that are going to roll out in the in the market. And as we do with the rest of our SIP product, we continue to work on the follow-on generation, which will generate revenue. But again, we were pleased with the revenue last year of $120 million, but that was partially due to the HBM4 rollout last year.
Mehdi Hosseini: If I may ask a quick follow-up here, I see Q4, there is a big step-up in Silicon IP. So with HBM and this licensing agreement, it's nothing to do with customer diversification. You have already licensed and now the next step is like HBM4E. Is that -- is the licensing revenue? Yes, I understand it happens earlier, but is that product migration driven or is that customer diversification or both?
Desmond Lynch: The dynamic between Q4 and Q1 on the Silicon IP business has mostly to do with customer timing of these different tape-outs and these different products, more than a generation of change because when you introduce a new technology like HBM4 and HBM4E, it can be adopted at different times by our customers. And every time one of our customers adopts it, we see a spike in our revenue, but that can be a bit lumpy. So that Q4 to Q1, we just happened from a timing standpoint to have customers rushing through their designs in Q4, being a little slower in Q1, that has more to do with timing than it has to do with the rollout of new technologies.
Mehdi Hosseini: Okay. Thank you. Thanks for the details.
Operator: Thank you. The next question is from Natalia Winkler with Evercore. Your line is now open.
Natalia Winkler: Hi, thanks for taking my question. I was wondering if, Luc, you could speak a lot -- a little bit about what you're seeing from the standpoint of x86 versus ARM CPU servers and specifically, how you think that sort of market-share shift may be playing into your product portfolio. Would you please kind of describe what you think the expectations from the performance standpoint for the ARM servers are? And if there are sort of additional benefit from the standpoint of the companionships for you guys or if it's actually a risk?
Luc Seraphin: Thank you, Natalia. The way we look at it is that we are agnostic to the type of processor or core that is being used. Whether it's an x86 core-based product, AMD or Intel or whether it's an ARM core-based product, and the interface to the module remains the same. So we are agnostic to the changes of or the shift of share between Intel and AMD on the x86 side and between x86 and ARM processors at this point in time. But that doesn't change the content on the module as well. So what we have to do at Rambus is to make sure that we are engaged with all of these customers. But the interface is exactly the same. The product line doesn't change for us. So we kind of immune from a revenue, revenue ramp or design-win standpoint.
Natalia Winkler: Thank you. That's very helpful. And from the standpoint of the client product, look, do you reminding us like what's the sort of timeline for ramp of those client products? Is it any different shipments of the product?
Luc Seraphin: Sure. So, the idea on the client side is that some of the technologies that were necessary on -- in the data center for performance reasons are going to be required on the high-end client side. So the TAM is limited at this point in time because this is limited to the very high end of the market. And the first product that we're introducing or reintroduced last year is the Client Clock Driver. We introduced that product in July of last year and it's going to -- it's being sampled to customers and is going to hit the market starting end of this year, beginning of next year, but in reasonably low volumes to be honest. But that's very important for us because if you look at this more strategically in the long run, power integrity or signal integrity, which is the -- what the CKD or the Client Clock Driver does are going to be critical to the performance of client systems in the future. So waterfalling the data center technologies into clients is important for us. CKD is the first product and it's going to -- it's sampling to customers with good reaction so far.
Natalia Winkler: Thank you.
Luc Seraphin: Thank you.
Operator: Thank you. The next question is from the line of Kevin Cassidy with Rosenblatt Securities. Your line is now open.
Kevin Cassidy: Yeah. Thanks for taking my question and congratulations on the great results. And going back to the Silicon IP, I see you did have lumpiness or -- on the upside in the first quarter, but it looks like your guidance for the second quarter is up also. Do you expect that to continue through the second half?
Desmond Lynch: Hi, Kevin, it's Des here. We were pleased with our overall sort of results in silicon IP in the first quarter, which was in line with our sort of expectations. What we did see is that we did sell more off-the-shelf IP, which explains the strength in licensing billings and royalty revenue in the quarter, which was offset by lower customizable sort of IP, which shows up under the contract and other sort of line from there. What I do expect going into the second quarter, the Silicon IP revenue to be relatively flat. The Q1 would be a good expectation from there. And as Luc mentioned, we did have a really strong fourth quarter of last year, which was really driven by the HBM4 results. But overall, I think the business is performing in line with our expectation and we would expect to see the second quarter revenue being flat to sort of Q1 from there.
Kevin Cassidy: Okay, great. And going to the MRDIMM, when you're talking to your customers now about the MRDIMM, what kind of adoption rate are you expecting? Is it -- say if a CPU has 12 memory channels, will all 12 of them use the MRDIMM or will it be just a certain percentage or is it just a certain percentage of CPUs?
Luc Seraphin: It's early to say, Kevin, to be honest, but what's driving the adoption of MRDIMM is the need for more capacity and -- sorry, more capacity and more bandwidth. What the market sees is that it's a nice bridge between the DDR5 generations of modules and the DDR6 generation of modules. It kind of bridges those two generations of products in terms of capacity and bandwidth. It's going to be used in very high-end system where those needs are required. So in support of the AI deployment, for example, are going to be the first adopters of these types of MRDIMM.
Kevin Cassidy: Okay. Thanks. We'll wait and see.
Operator: Thank you. The next question is from the line of Tristan Gerra with Baird. Your line is now open.
Q - Tristan Gerr: Hi. Quick question. You talked earlier about the gross margin catalyst for the rest of this year directionally. How should we look at operating margin? Is it going to be similar, and really tied to what you described in gross margin? Or is there anything else that could act as a driver of operating margin and including on the licensing side?
Desmond Lynch: Hi, Tristan, it's Des here. As I talked about earlier, I do expect that the second half gross margin profile on the chip side will improve as a result of a stronger product mix in the second half as well as manufacturing cost savings kicking in from there. We've been really pleased with our overall model, which is operating at the sort of mid-40% op income level and continues to generate really strong cash from operations, $77 million last quarter. I think if you look at the progression of the business over the sort of last year, you can see that the business continues to improve both on the top and bottom line and that's what we expect to continue to see going forward. We have a really robust business model as Luc mentioned in his prepared remarks, and we continue to generate strong cash from operations as well. So we can see that continuing here going forward.
Q - Tristan Gerr: Okay. And then as far as the price renegotiation that you talked about in Q1, and the mid-single-digit price adjustment, is there any -- is that typical of what you see every year or was there any specific factors this year that didn't happen in prior years? If you could maybe elaborate on what we should expect in terms of patterns from this? And is it just normal pricing renegotiation, or I know that you're not really impacted by supply-demand dynamics, but I don't know how that really compares with what we're seeing in prior years?
Desmond Lynch: Hi, Tristan, it's Des again. What I would say is that the sort of mid-single-digit price erosion is really in line with normal cycles from there. This is a sort of normal cadence at the start of the year that we will see the price down on the products, and really that is in line with our expectations from there. So nothing untoward on the sort of price side. As you correctly sort of point out, we're not really tied into the DRAM pricing sort of cycles in terms of the price from there. So mid-single-digit erosion is the right way to sort of think about the ASP erosion of the business.
Q - Tristan Gerr: Great. Thank you very much.
Desmond Lynch: Thanks, Tristan.
Luc Seraphin: Thank you.
Operator: Thank you. At this time, there are no further questions. This concludes our question-and-answer session. I'd now like to turn the conference back over to Luc Seraphin to conclude.
Luc Seraphin: Thank you to everyone who has joined us today for your continued interest and time. We look forward to speaking with you again soon. Have a good day. Thank you.
Operator: Thank you. This now concludes today's conference.